Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2025 Hess Midstream Conference Call. My name is Gigi, and I'll be your operator for today. [Operator Instructions]. Please be advised that today's conference is being recorded for replay purposes. I would now like to turn the conference over to Jennifer Gordon, Vice President of Investor Relations. Please proceed.
Jennifer Gordon: Thank you, Gigi. Good afternoon, everyone, and thank you for participating in our second quarter earnings conference call. Our earnings release was issued this morning and appears on our website, www.hessmidstream.com. Today's conference call contains projections and other forward-looking statements within the meaning of the federal securities laws. These statements are subject to known and unknown risks and uncertainties that may cause actual results to differ from those expressed or implied in such statements. These risks include those set forth in the Risk Factors section of Hess Midstream's filings with the SEC. Also on today's conference call, we may discuss certain GAAP financial measures. A reconciliation of the differences between these non-GAAP financial measures and the most directly comparable GAAP financial measures can be found in the earnings release. With me today are Jonathan Stein, Chief Executive Officer; John Gatling, President and Chief Operating Officer; and Mike Chadwick, Chief Financial Officer. I'll now turn the call over to Jonathan Stein.
Jonathan C. Stein: Thanks, Jennifer. Welcome, everyone, to our second quarter 2025 earnings call. I have a few opening comments, and then I'll hand the call over to John Gatling to review our operations and Mike Chadwick to review our financials. I wanted to first say that we are all excited and eager to work together with our new Chevron colleagues to continue to drive value for our shareholders. Our new board members, including our new Chair, Andy Walz, Chevron's President of Downstream, Midstream and Chemicals have significant experience across the upstream, midstream and downstream businesses and complement the operational and financial expertise of our current Board members. I am also excited to welcome Mike Chadwick to his new role as Chief Financial Officer of Hess Midstream. I've worked alongside Mike for the past 20 years as he's progressed through various financial roles at Hess Corporation, and we are fortunate to have his experience and leadership capabilities working with the midstream. I am also excited to step into my new role as CEO of Hess Midstream. Since our IPO, we have created value for shareholders through operational excellence and execution that drives a visible trajectory of growth and supported by a financial strategy that includes a differentiated combination of balance sheet strength and a priority on shareholder returns. With the continuity of the midstream team in place, we are excited to take this strategy forward as we continue to build Hess Midstream with a unique combination of sector- leading growth and shareholder returns. Today, I want to focus briefly on 3 themes. First, we continue to deliver outstanding operational performance, which you can see reflected in the quarter that we reported today and also in our fourth annual sustainability report, which we issued a few weeks ago and which highlights our commitment and track record of safe and reliable execution. In the second quarter, throughput increased across all segments, and we are in line with our annual guidance for volumes to grow by approximately 10% across all oil and gas systems in 2025 compared with 2024. Second, we continue to deliver outstanding financial performance. We are estimating an approximate 11% increase and adjusted EBITDA growth in 2025, with approximately 7% growth at the midpoint in the second half of the year. With total expected capital expenditures of approximately $300 million, we expect to generate adjusted free cash flow of approximately $725 million to $775 million, which more than covers our targeted 5% annual distribution growth and generate excess free cash flow. And third, we are committed to our ongoing financial strategy, which prioritizes return of capital to our shareholders and has made Hess Midstream's total shareholder return yield, one of the highest of our midstream peers, while also maintaining one of the lowest leverage ratios. Highlighting our balance sheet strength, last week Hess Midstream's senior unsecured debt was upgraded by S&P to an investment- grade rating of BBB- following the close of the Chevron Hess merger. Since 2021, we have returned greater than $2 billion to shareholders through accretive repurchases and have increased our distribution per Class A share by more than 60% to 5% targeted annual distribution growth and distribution level increases following each share repurchase transaction. We expect to generate greater than $1.25 billion of financial flexibility through 2027 for incremental shareholder returns, including the potential for further unit and share repurchases over this period. With a consistent strategy at Hess Midstream, we are excited for the future. We have a visible trajectory of growth that underpins our unique and differentiated financial strategy with a continued focus on consistent and ongoing return of capital to our shareholders. With that, I'll hand the call over to John to review our operational performance for the second quarter.
John A. Gatling: Thanks, Jonathan. Today, I'll discuss our second quarter performance, then Mike will review our financial results and guidance. In the second quarter, Hess Midstream delivered record operating performance. Throughput volumes averaged 449 million cubic foot per day for gas processing, 137,000 barrels of oil per day for crude terminaling and 138,000 barrels of water per day for water gathering. Throughput increased across all segments of our business, with gas processing and oil terminaling volumes increasing by approximately 6% and 10%, respectively, from the first quarter, primarily driven by outstanding upstream production performance and high midstream system availability. Turning to Hess Midstream guidance. We're again reaffirming our previously announced full year 2025 oil and gas throughput guidance. In the third quarter, we expect volume growth from the second quarter across our oil and gas systems, partially offset by higher seasonal maintenance activity. Turning to Hess Midstream's capital program. Our multiyear projects continue as planned. In 2025, we remain focused on the completion of 2 new compressor stations and associated gathering systems as well as continuing to progress the Capa gas plant. Full year 2025 capital expenditures remain unchanged and are expected to total approximately $300 million. In summary, we remain focused on executing our strategy of disciplined low-risk investments to meet basin demand while maintaining reliable operations and strong financial performance. We expect our growth strategy to generate sustainable cash flow and create opportunities to return capital to our shareholders. I'll now turn the call over to Mike to review our financial results and guidance.
Michael J. Chadwick: Thanks, John, and good afternoon, everyone. I wanted to say first that I'm really excited to join the Hess Midstream team and look forward to meeting you in the future. Today, I'm going to review our results for the second quarter and our financial guidance and then we will open the call for questions. For the second quarter of 2025, net income was $180 million compared to $161 million for the first quarter. Adjusted EBITDA for the second quarter of 2025 was $316 million compared to $292 million for the first quarter. The increase in adjusted EBITDA relative to the first quarter was primarily attributable to the following. Total revenues, excluding pass-through revenues, increased by approximately $30 million, primarily driven by higher throughput volumes resulting in segment revenue changes as follows: gathering revenues increased by approximately $16 million; processing revenues increased by approximately $9 million; terminaling revenues increased by approximately $4 million and third-party services and other income increased by approximately $1 million. Total costs and expenses, excluding depreciation and amortization, pass-through costs and net of our proportional share of LM4 earnings increased by approximately $6 million, primarily from higher seasonal maintenance activity and third-party processing fees. This resulted in adjusted EBITDA for the second quarter of 2025 of $316 million. Our gross adjusted EBITDA margin for the second quarter was maintained at approximately 80%, above our 75% target, highlighting our continued strong operating leverage. Second quarter capital expenditures were approximately $70 million and net interest, excluding amortization of deferred finance costs, was approximately $52 million, resulting in adjusted free cash flow of approximately $194 million. We had a drawn balance of $273 million on our revolving credit facility at quarter end. In January, we announced that we are targeting annual distribution per Class A share growth of at least 5% through 2027 which is supported by our existing MVCs. This week, we announced our second quarter distribution that included our targeted 5% annual growth per Class A share and an additional increase utilizing the excess adjusted free cash flow available for distributions following the repurchase. Turning to guidance. For the third quarter of 2025, we expect net income to be approximately $175 million to $185 million and adjusted EBITDA to be approximately $315 million to $325 million, reflecting higher volumes and revenues, partially offset by seasonally higher maintenance costs. We also expect CapEx to increase in the third quarter, consistent with seasonally higher activity levels. For the full year 2025, we are updating net income and adjusted free cash flow guidance to include the impact of an incremental $15 million in expected interest expense, mainly on higher debt balance following the repurchase transactions completed so far this year. The updated net income guidance also includes the impact of an incremental $15 million in expected income tax expense resulting from ownership changes following the previously completed secondary equity offerings and repurchase transactions. As a result, we now expect net income of $685 million to $735 million. We are maintaining our adjusted EBITDA guidance range of $1.225 billion to $1.285 billion implying growth of approximately 7% in adjusted EBITDA at the midpoint in the second half of the year. With total expected capital expenditures of approximately $300 million, we now expect to generate adjusted free cash flow of approximately $725 million to $775 million. With distributions per Class A share targeted to grow at least 5% annually from the new higher distribution level, we expect excess adjusted free cash flow of approximately $125 million after fully funding our targeted growing distributions. We continue to have more than $1.25 billion of financial flexibility through 2027, that can be used for continued execution of our return of capital framework, including potential ongoing unit and share repurchases. This concludes my remarks. We will be happy to answer any questions. And I will now turn the call over to the operator.
Operator: [Operator Instructions]. Our first question comes from the line of Jeremy Tonet from JPMorgan Securities LLC.
Vrathan Reddy: This is Vrathan Reddy on for Jeremy. I wanted to start off with the Hess deal now closed, if you guys have any insight into Chevron's view on the Bakken and whether the rig count there could change and if there were to be changed, could you remind us of the sensitivity to HESM in terms of the EBITDA growth you guys have laid out in the expectation for higher volumes across the systems in '26 and '27?
John A. Gatling: Yes. Maybe I'll touch on it and then Jonathan and Mike can hit it as well. But just from our perspective, we're currently running 4 rigs. We've seen very strong upstream performance level delivery with our increased laterals and the midstream availability has just been phenomenal. We'll continue to execute strongly and stay focused on that. And as we -- every year, we'll update our development plan as we get an update with Chevron coming in as our sponsor. So that will happen at the -- towards the end of the year, and then we'll be issuing guidance in January.
Vrathan Reddy: Got it. And then turning to capital allocation. Wondering if you could talk a little bit specifically about your appetite for buybacks at current prices. And with GIP sell down now complete, if we should think about any change in the magnitude of repurchases going forward.
Michael J. Chadwick: Yes. So with buybacks, as we announced in January, we have about $1.25 billion of financial flexibility through 2027, and we expect to do multiple repurchases a year as we've done in the past. So there's no change to that guidance. As we previously mentioned, our January repurchase that was in lieu of not having completed a repurchase in Q4 of last year. Our May repurchase of $200 million which included the public for the first time. That got us back into our cadence of about $100 million every quarter. However, the size of that is not set in stone. But generally, $100 million a quarter is what we will be completing as we have done over the last couple of years.
Jonathan C. Stein: And this is Jonathan. As we said at the beginning, as I said in my comments, overall, there's no change to our strategy in terms of our business strategy and to our financial strategy. And you saw that just this week we issued, as Mike said, our quarterly dividend announcement on Monday night that included our distribution level increase as well as the $200 million increase on the $200 million share buyback that we did earlier. So really no change in our return on capital program going forward. You mentioned GIP. Obviously, GIP out in terms of secondaries. That's not something that we expect. But in terms of return on capital, which is really always focused on, that framework that continues as is.
Operator: Our next question comes from the line of Saumya Jain from UBS.
Saumya Jain: I was wondering how are you guys seeing GORs trending in the near term? And along with that, what's your outlook on the Bakken for heading into 3Q?
John A. Gatling: Yes. So the GORs really haven't changed. As the basin matures over the longer term, GORs are expected to increase, which they're acting as exactly as we would expect them to. Looking at the North Dakota Pipeline Authority, Justin Kringstad and the team there are kind of looking at longer-term basin growth in the gas space. And it is anticipated that Bakken gas is going to grow over the long term. And we would expect the Hess and Chevron Bakken volumes to basically do the same trend the same way. So we're expecting oil to remain in the pipeline authorities forecast, they're expecting oil to remain flattish with gas growing over the longer term.
Saumya Jain: Got it. And then could you detail where gas processing volumes are at now over the past months? Any changes to note? Just trying to understand the cadence and same with oil terminal.
John A. Gatling: Yes. I think generally speaking, we've seen and expect to continue to see the growth through the end of the year as our guidance has supported that. So again, we had a very, very strong second quarter. We do continue to expect to see growth in the third and fourth quarters and finish the year at guidance. So I would say you would continue to see that grow through '26, '27 as the MVCs have kind of outlined. And again, if there's any changes to the development plan that will happen as part of our normal annual development prime process, and that will be updated in January.
Operator: Our next question comes from the line of Doug Irwin from Citi.
Douglas Baker Irwin: Congrats, Jonathan, Mike, on the new roles as well. I'm just trying to start with the guidance range here. If I just take the first half guidance, first half '25 guidance, just in the aggregate, I think you're turning about $15 million above the guided midpoint year-to- date and now third quarter is pointing to a bit more growth from here. Is it fair to say you're turning above the annual midpoint at this point? Or are there may be some variances versus your initial outlook that has kind of shifted around the timing throughout the year here versus your initial second half expectations?
John A. Gatling: Maybe I'll touch on the operational side, and then I can hand it over to Mike and Jonathan. But overall, again, we had an extremely strong second quarter, very little weather impact, essentially no maintenance activity. Coming out of the first quarter, which was a bit more challenging, we were really just trying to stabilize operations, and I think we are very pleased with how both the upstream perform, but also how the midstream performed. We're going to continue to see that growth going into the third and fourth quarters. But as we transition in, we are expecting to see a little bit more maintenance in the second half of the year and that will probably be kind of in the later part of the year. We're still kind of planning all of the activity, but there's still some room there. And we're -- again, I think we're still very comfortable with the guidance that we've got currently.
Michael J. Chadwick: Yes. Thanks, John. And I'll just tag on the back of that as we have seen -- we're keeping our adjusted EBITDA guidance for the year, which already includes quite a lot of growth baked into the second half. As Jonathan said and I said in my notes, taking the midpoint of our full year guidance, we expect about 7% higher EBITDA in the second half of the year compared to the first half. And so while revenues are expected to grow on higher volumes, as John described, phasing of maintenance costs means expenses are expected to be higher in Q3 and we also retained some winter weather contingency in Q4. And while winter weather can also lower maintenance costs, Q4 also typically see some variability in our allocation costs. So we're keeping guidance there for the second quarter.
Douglas Baker Irwin: Okay. That's helpful. And then -- maybe another on buybacks, just asking a slightly different way. It's obviously early on in the relationship with Chevron here. I'm just curious if you expect them to participate in buybacks kind of similar to how Hess did or will buybacks going forward pretty much be entirely dependent on buying back shares from public owners. And to the extent that you are buying back more public shares, does -- just general liquidity of those public shares impact kind of your ability to maintain the run rate kind of in a smooth of a cadence as you have in the past?
Jonathan C. Stein: Sure. This is Jonathan. Yes. Look, there's no change. As we had said in the past, when we had secondaries and buybacks happening simultaneously, there are really 2 separate objectives. While the secondaries were changing ownership level. The buyback program is really just a return of capital program. And so you would expect over time that we'll have the same participation, more closer to the relative proportional levels of the public and Chevron going forward. So really no change to our approach there. We did include, as you know, now we have the kind of well tested out qualities, the ASR process last time to include the public in our buyback program and have that mechanism available for us to be able to do that going forward as well. So really no change there. And in terms of our liquidity, I think you've seen that our liquidity has continue to increase as we did all the secondary transactions and the public ownership went up or liquidity at this point in average, a trading volume is more than sufficient to handle our buyback program at the level that we've done in the past and expect to do going forward.
Operator: Our next question comes from the line of Praneeth Satish from Wells Fargo.
Praneeth Satish: Also congrats, Jonathan and Michael on the new roles. Maybe can you just provide any more context around GIP's decision to exit its investment in Hess Midstream back in May? I mean I know they were selling down their stakes. So it wasn't really a surprise. But I guess why do it in May versus maybe after the merger with Chevron?
John A. Gatling: Sure. So as you know, we've -- over the past 3 years plus, we've been executing secondaries in a very disciplined fashion. Each one increasing in size generally over time and with increasingly tighter discounts, a very disciplined approach. GIP saw an opportunity, as they always said. The second were based on demand from investors, and then GIP would assess that relative to their value proposition expectations and that opportunity existed in May and so they continue taking that opportunity. They, of course, have their own investors and time line and really, really executing relative to demand and the expectations really independent of at that point, any potential merger timing. So really just continuing the disciplined execution that we had in the past an opportunity presented itself.
Praneeth Satish: Got it. And then maybe as a follow-up, I guess, right or wrong, some investors have viewed GIP is providing an independent voice that's kind of helped balance the sponsor interest with those of the public. So I guess with GIP now out, how do you think about the new governance structure versus having that third-party institutional investor at the table?
Jonathan C. Stein: Sure. Yes. No, we agree that one of our differentiating strengths relative to other sponsored midstream companies has been our balanced governance and certainly with GIP. Historically part of the Board that provided some level of that. So consistent with that approach, as you saw, we updated our governance in June following the GIP's exit, and that included that certain key decisions require the approval of 1 independent director. That includes things like leverage above a certain level, issuing equity or major capital decision, among other key strategic decisions. That mechanism is now in place. As you know, we're adding also a fourth independent Board member, but this mechanism is in place independent of the number of Board members at the time or the timing of the fourth independent member joining the Board. So I think it really highlights our continued belief in the value of a balanced government that we've had historically. And then with this new mechanism in place that we will continue to have going forward.
Operator: Our next question comes from the line of John Mackay from Goldman Sachs.
John Ross Mackay: I wanted to pick up a little bit more on the Chevron side. I totally understand it's early, and you'll have your annual review of activity levels later in the year. But Hess has been talking about this kind of 200,000 BOE a day target for a long time, and then we've kind of thought about that as the reasonable run rate for the footprint. Could you maybe just -- and acknowledging that can, I guess, change, but can you maybe just remind us kind of how that 200 a day level was set kind of what the thought process behind it was? And then maybe from that any read on why that might be the right level going forward?
John A. Gatling: Again, I think as we think about the 200,000 barrels a day it was really kind of hitting the over 100,000 barrels a day of gross oil or of net oil and then the gas growth over time. And as we've been doing just from an overall field development plan perspective, as we've really been trying to optimize the upstream drilling activity with the midstream infrastructure plan, and so it's really about having the infrastructure in place and then keeping that infrastructure as utilized as it possibly can be. And so we -- when we looked at the build over time and looked at the infrastructure development and kind of where we felt like the development -- the field development from a drilling perspective was happening, we felt like that, that 200,000 barrels a day is about the right level. So outside of the 2 compressor stations that we're building this year were in the process of progressing the Capa gas plant. As far as material long-term infrastructure activity, we're kind of at that level where the infrastructure is stable. And so from our perspective, we're kind of looking at this as how does the drilling activity and the infrastructure system really complement each other so that you get very, very high utilization of that equipment and really optimize the system itself. So that's really kind of where we are and how we've continued to look at it. And as we continue to look longer term, we'll look at our development plan again, which, again, it's a very integrated activity between the upstream and the midstream. That will happen in the fall, and then we'll be updating our longer-term guidance in January.
Jonathan C. Stein: This is Jonathan. One thing just to highlight, John really picked it up on the end, and I think it's important to highlight at this stage, which is one of the historic strengths of Hess Midstream has been the partnership that we've had between the upstream and the midstream between Hess Midstream and the upstream, it has to be able to develop the Bakken in the most optimal way. And now as we go forward with Chevron, there's no change to that partnership. There's no change to the focus on both of us working together to optimize the Bakken and develop it, as John described, and as you said, the normal process will continue, where we get an updated development plan, we'll figure out what's the right infrastructure required to meet that development plan going forward and then we'll update our guidance based on that going forward. So really continuing in that strong partnership that has really been a hallmark of our relationship historically.
John Ross Mackay: That's helpful and that's all clear. Maybe just one related one. Since you've seen kind of increased efficiencies on the upstream side there, just what's been the latest commentary around related inventory life?
John A. Gatling: Yes. I mean I think we're still -- everybody gets still hung up on rig count and well counts and all of that. And really as we move into an extended lateral program, it really is the lateral footage drilled. And so from our perspective, the overall lateral footage that's been drilled as far as what's available to develop really remains unchanged. And in fact, we're actually seeing a little bit of growth in that space just from the standpoint of as those extended laterals become a bigger part of the portfolio, that creates opportunities for improved economics on those wells where they may be in more challenged areas. But if you're drilling a 3, 4-mile lateral, your -- the economics get much better, and that unlocks some of the rock that may have been challenged before. So I think we're -- we continue to be extremely optimistic in that space, and that's something that continues to be a tailwind for us as we look forward for the basin development.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.